Operator: Hello, and welcome to the KBC Group Earnings Release Q4 2025 Conference Call hosted by Johan Thijs, CEO; Bartel Puelinckx, CFO; and Kurt De Baenst, Head of Investor Relations. Please note, this conference is being recorded. [Operator Instructions] I will now hand over to Kurt De Baenst to begin today's conference. Thank you.
Kurt De Baenst: Thank you, operator. A very good morning to all of you from the headquarters of KBC in Brussels, and welcome to the KBC conference call. Today is Thursday, February 12, 2026, and we are hosting the conference call on the fourth quarter and full year results of KBC as well as the '26 and '28 financial guidance. As usual, we have Johan Thijs, our Group CEO, with us; as well as the Group CFO, Bartel Puelinckx, and they will both elaborate on the results and add some additional insight on the new short-term and long-term financial guidance. As such, it's my pleasure to give the floor to our CEO, Johan Thijs, who will quickly run you through the presentation.
Johan Thijs: Thank you very much, Kurt. And also from my side, a warm welcome to the announcement of the fourth quarter results of 2025, which was also, obviously, is then the announcement of the full year results of the very same year. Let me start with the highlights. And as a matter of fact, and I always use in this perspective, the same thing, [ Glenn ], you know what I'm going to say, the machine has been firing on all its cylinders. Yes, indeed, all the different aspects of our bancassurance franchise have been performing excellently. First of all, we have continued to operate at a diversified split of 50% net interest income and 50% noninterest income despite the fact that our net interest income grew significantly, which clearly means that we are able to perform also on the asset management side and the insurance side, life, non-life at the same growth pace as the increasing net interest income. Coming back to that net interest income, it was significantly up compared to previous quarter and obviously significantly up compared to previous years, which was triggered by, in essence, 2 things: first of all, a further continuation of the strong performance of what we call the transformation results or our replicating portfolio, which was further boosted by the further continuation shift of term deposits into current accounts and saving accounts. Next to that, we also saw a strong performance of our loan and our customer deposits, both are growing significantly in all the countries and therefore, contributed to the net interest income. We saw as well a record net sales over the full year, which was supported with again a positive net sale on the fee and commission business, so asset management business in the fourth quarter. The insurance business performed excellently also with growth numbers double digit, both on non-life and on the life side, which was, by the way, improving even the record results of 2024. In that perspective, we also see that the underlying -- sorry, first of all, the total income in total grew 9% on the year, while our costs maintained at the guided level of 2.5% in that perspective, excluding obviously the bank taxes and the FX effect, which is giving us a jaw of more than 6%, as a matter of fact, 6.4%. Quality-wise, impairments under control, 13 basis points, significantly better than the guidance. And the combined ratio also 87%, also significantly better than the guidance. As a matter of fact, all the elements which we provided for as a guidance in last year were achieved or let me say differently, overachieved. This has 2 consequences. First of all, if you wrap it up then your capital ratio -- then our common equity Tier 1 ratio now stands at 14.9% and our liquidity ratios stand at very solid positions, both in the short term and in the midterm, which allows us to say that the dividend, which we are going to propose to the Annual General Meeting will be EUR 5.1 per share, and if you include there the AT1 coupon, that means a payout ratio of 60%. Given the exceptional character of 2025, not only in terms of the results, but also in terms of customer satisfaction, in terms of employee satisfaction and also on the digital front, where we have once again been nominated having the best banking app in the world, we also decided to contribute a profit allocation to the tune of EUR 25 million into what we call Team Blue bonus for our staff. We also provide guidance for the period to come, but I will go into that in more detail later on, and we will then immediately switch into the detail of quarter 4 first. On the next page, you can clearly see the performance of our digital initiatives. This is underpinned by what you already know, Kate. It's performing better and better. It has been retrained, as I said on previous occasions, and it now is a fully fledged large language model included, which means also that the autonomy of Kate under that new formula, so Kate 2.0 is now having an increase of its autonomy, which means the ability to solve questions of our customers without any human being interfering and solving the question means providing the requested product or providing the requested answer to the customer indeed, well, that has increased with roughly 20% compared to the previous version and now brings the autonomy to 82%. As a matter of fact, we will be launching this in the Central European countries in the quarters to come, and that will mean that efficiency gains in that perspective will be to the same tune because the autonomy in Central Europe is now hovering around 70%, which indeed is the previous number of Belgium. In terms of the job done by Kate of the equivalent FTEs, we talk now more than 400 FTEs. But what is also very much more important that is Kate is able to deliver 400,000 sales independently from the traditional network. Also in that perspective, we will continue to invest in the nearby future on the same developments on the innovation front. And just to highlight, we launched in quarter 4, an ecosphere around mobility. That ecosphere was triggered -- was launched in Belgium, was triggered in the first month by 73,000 users, which were generating indeed already a lot of data, which is enabling us to sell more products to these customers. In terms of one-offs, it was a very normal quarter. You can see that on Page 5, roughly [ EUR 8 million, EUR 7 million ] after tax, [ EUR 9 million ] before tax of exceptional income. It's not worth to talk about it. There is, of course, a bigger impact in 2024 end of year. So be careful, the DTA of Ireland was at that stage included. Now more importantly is what about the evolution of the net interest income? Well, we do report today EUR 1.608 billion of net interest income, which is a significant rise of the net interest income compared to previous quarter, 5% and even 12% compared to previous year. What is the driver? As we said on previous occasions, it is the result of the commercial transformation result, which continues to increase significantly. What is underpinned by 2 things. First of all, the reinvestment yields, which continue to rise, and we confirm here today that through the cycling -- sorry, the cycle of the guidance, '26, '27, '28, this will be again the case. Second element, which is crucial from this perspective is the continued increase of our deposits, first of all, and secondly, also the shift from term deposits back into current account, saving accounts, which allows stability on our transformation result. So in this perspective, indeed, commercial transformation result has boosted the net interest income and will continue to do so going forward. Second main contributor is the net interest income generated on lending side. Well, here again, we had a good quarter in 2025 quarter 4, with a growth of 1.1%, which brings the total growth of 2024 on the lending -- sorry, '25, obviously, on the lending side to 7.4%, which is much better than we originally anticipated and which we guided for. And therefore, it contributes to the lending growth. What remains under pressure, obviously, are the commercial margins. It is not true that in every type of product in every country, the margin will go down. This is not the case. For instance, the margin of mortgages in Belgium went up with 8 or 9 basis points. But in general, I would say there is commercial pressure, but this is offset by the volume increase and therefore, also the increase of market share, which we see in most of our countries. In summary, the net interest margin went up to 211 basis points, which is significantly higher than previous quarter. And this is indeed triggered by 3 things: the replication portfolio, which continues to perform excellently, as explained, the shifts between term deposits and current account, saving accounts and then obviously, also the fact that in Belgium, we brought down the loyalty premium on the savings account at 10 basis points. Now in terms of all the other elements of net interest income, well, they're more or less in line. So I would not dwell upon this too much. But let's say, in essence, they are in line with what we have seen in previous quarters, if you talk about inflation-linked bonds, if you talk about the short-term cash management, so on and so forth. So not worth to spend too much time, but we will be happy to answer all of your questions in that perspective. Far more important is the next slide, where you see the evolution of our customer money and the core customer money. And the message is very straightforward. In the fourth quarter, again, a positive evolution of EUR 4.5 billion, which is triggered by 2 things. First of all, the shift of term deposits into current account and saving accounts. As a matter of fact, there is a positive delta of roughly EUR 4 billion. And then on top of that, we do see monies flowing in, further continue to flow into the mutual fund business, again, a positive growth of EUR 0.7 billion. So in total for the full year, this brings us an inflow of a striking EUR 13.5 billion, which is, in essence, split up as a shift of, let me round the number, roughly EUR 9 billion of term deposits and savings certificates into current accounts and saving accounts, totaling that amount as an inflow of roughly EUR 16 billion, further underpinning the replicating portfolio. And then last but not least, a record year in inflow into our investment products, mutual fund business of EUR 6 billion, but that is worth in itself a further explanation in a second. So to wrap it up, we do see a continuous shift from lower-yielding term deposits into higher-yielding term -- sorry, current account, saving accounts, but also mutual funds. And this is a trends which we continue to see in '26 and also expect to happen going forward, given the evolution of the policy rates of the central banks. Let me then go immediately into fee and commission. Well, fee and commission, EUR 725 million, which is up roughly 2% on the year -- on the quarter and 4% on the year. And this is again driven by the performance mainly on the asset management services side. So first of all, we did see a good performance on the management fees for obvious reasons. And secondly, we do see also a good performance on the sales side, which is further contributing to the growth of those asset management services fees. In terms of the banking services, well, in essence, we do see there also a good performance. There is one caveat. And the caveat is when you do excellently on the sale of certain banking products, you have to pay commissions and those commissions are deducted here from the fee and commission, and that is EUR 11 million. Otherwise, banking services will be on the rise as well. So in that perspective, fourth quarter is a continuation of what we have seen in the 3 previous quarters and is then bringing the total of assets under management to a record high EUR 300 billion. Direct client money, you can see it on the graph, is also on the rise, and this is mainly triggered by end market performance, but also on net inflows, as I just explained. Just for information purposes, if you look at the gross sales of 2025, we have a striking EUR 16.5 billion of gross sales, which is translated in net sales of 6 billion, and this is indeed a record high. Also small detail, we do see strong performance on our trading platforms. And in those trading platforms, we have 2 major contributors, the Belgium Bolero platform, which saw an increase of 25% of customers over the year and a 45% increase of transactions. And more or less, the same can be said about the Czech platform, which is used in Central Europe, so not only in Czech Republic, where we did see the same kind of performance or a likewise performance. Anyway, what about the other part of the diversification insurance? Well, if you look on the year-on-year results, 11% up. If you look year-to-date, it's 9% up, which is indeed a striking number. And this is translated not only in a strong growth, but also in good quality because the combined ratio now stands at 86.7%, and that is better than guided, but also better than last year. So continuation of good growth, 9%; and good quality with the delta compared to the 100% combined ratio of 13%. Life insurance sales, well, we had until third quarter already a record performance and fourth quarter has topped that up with a whopping 26% increase, which is triggered by both unit-linked as interest guaranteed products, mainly interest guaranteed products due to commercial campaigns run both in Belgium and Central Europe. So this performance of growth in the life insurance side is also true for Central Europe. And let me emphasize something I forgot on the fee and commission. The growth of the fee and commission business on the asset management side was also driven by Central Europe in essence. So in this perspective, we do see, again, a very strong growth, which means that the guaranteed interest products and the unit linked both roughly are 45% of the total production, which means that it is very well balanced. In terms of the more volatile results, financial instruments fair value, we do see a fundamental increase of the contribution, which is mainly linked to the fact that the ALM derivatives have been performing better due to, in essence, the difference between previous quarter and this quarter is mainly driven by positive contribution of the ineffectiveness of hedge accounting and on the performance -- better performance due to better interest rate swaps. Coming to the net other income, while the run rate is roughly EUR 45 million. So with EUR 39 million, we're slightly below, but this is a detail. And in essence, I would say it's perfectly in line with what this should be. Let me then go to an important line that is the operating expenses line. Well, we guided in the beginning of the year a growth of 2.5% year-to-date, and we delivered on that precisely 2.5% cost increase full year '25 compared to full year '24, excluding, obviously, bank taxes and the FX impact. So in this perspective, it's perfectly in line with the guidance and if that entails also the efficiency because intrinsically, if you look at the contributors, we have the seasonal effects in the fourth quarter of IT contributors, marketing expenses and so on and so forth. But if you look at the underlying result, well, in essence, it's very simple, we built down the total number of FTEs KBC group-wide. So we have less people, but we have 9% more revenues generated in 2025. And it is that efficiency, which we are going to continue in the years to come, '26, '27 and '28. How is this translated? Well, this is translated in a further improvement of the cost/income ratio. If you do more with less people, then your cost/income ratio goes to 41% when you exclude the bank taxes. And bank taxes speaking, we now have EUR 666 million. It's a very interesting number and is therefore also called bank taxes. No further comments on the next page, you see the detail. And let me go then immediately into impairments. Well, impairments are well under control. We had actually a good quarter in quarter 4, EUR 76 million were related to the loan book, which was triggered by 1 or 2 bigger files, but this is perfectly in line with the guidance which we gave. And on the buffer, which we hold for geographical and emerging risks, we only had a release of EUR 3 million, which brings the buffer to EUR 100 million, which can be used for circumstances if they would derail in the future. We also had a EUR 48 million impairment on goodwill which is mainly triggered by an impairment on software. This is software mainly in the Central Europe entities where we have, as you know, installed new platforms, and we impaired other parts of solutions, which were built in that perspective. In terms of the remaining amounts, EUR 9 million is linked to a government initiative in Slovakia, EUR 9 million of modification losses and EUR 7 million on goodwill impairment, which sums it up to EUR 48 million. What about credit cost ratio and impaired loans ratio? Well, we continue to see a very good credit cost ratio, 13 basis points regardless of the buffer and the 13 basis points compared to the guidance, which we gave below 25 to 30 basis points, which is that box is ticked. And also when you compare it in the longer term credit cost ratio of 25, 30 basis points, well, then this is significantly better. The ratio is good. Why? Because also the underlying portfolio on impaired loans is further improving. It now stands at 1.8%. If you would use the EBA definition because of the KBC definition a bit harsher, then the number stands at 137 basis points, which is significantly better than the European average. Also, if you would look into the evolution of the PD classes, which you can find in the quarterly report as well, then you see there that in quarter 4, we had a further improvement of the PD evolution in our loan book, triggering indeed this credit cost ratio and saying that the quality of the book is good. Going to the capital ratios, which you know are built up by 2 sides. In the numerator part, we add the contribution of the quarter 4, and we obviously also add the dividend payments of KBC Insurance, which is, as you know, lagging 1 quarter behind in the insurance side. So the result you see here is the dividend of the previous quarter, which is booked and totaling EUR 19.2 billion capital, CET1 capital. What about the denominator? Well, that denominator is influenced by 2 things. First of all -- actually 3 things. First of all, growth, given the fact that we're strongly growing our asset side, so our loan book, that has an impact on the risk-weighted assets to the tune of EUR 1.7 billion. Next to that, we have the traditional booking of the operational risk-weighted assets totaling EUR 1.2 billion and some changes on the market risk-weighted assets, EUR 0.8 billion. So in total, let's say, round the number, roughly EUR 4 billion, but this was offset by the inclusion of the impact of the SRT, which we run in the fourth quarter, and that SRT brings down the risk-weighted asset increase to roughly EUR 1.7 billion. In that perspective, the capital ratio now stands at a solid 14.9%. What is not included in this capital ratio are, in essence, 2 things. First of all, we have closed the acquisitions of 365 bank and 2 days ago or -- yes, 2 days ago, the acquisition of Business Lease, Czech Republic and Slovakia. And the sum of the 2 will have an impact of 50 basis points. And then what is also to be known is that we will continue to further optimize our capital position, risk-weighted asset position in the course of 2026 with SRTs and therefore, try to mitigate the impact of the volume increase, which we foresee as we speak in '26, '27 and '28. Going to the ratios then. Well, we end up with an OCR ratio of 10.87%, which is 2 basis points higher than before. This has to do by legal changes on the systemic buffer and so on and so forth. It's only 2 basis points, so let's not dwell on this. And then the MDA stands at 10.91%. This is triggered by a 4 points percent -- no, not 4 points percent, 4 basis points difference on the Tier 2, and that is almost fully but not entirely compensated by the AT1 surpluses. Leverage ratio stands at 5.6%, which is a further increase, which is also true for the liquidity ratios already mentioned them. And also the insurance stands at a very solid 227% Solvency II ratio, which was positively triggered by the evolution of the spreads on the bonds and also obviously, by the contribution of the results of the insurance company, which brings us to the future. What about the future? Well, the guidance this time is a bit more difficult because we are comparing 2025 as a base year with '26, '27, '28, where KBC Group changes from a composition. '25 does not contain 365 nor Business Lease acquisitions. So therefore, let's be careful. And therefore, we prefer to give also guidance on the underlying performance of KBC Group in '26, '27 and '28. On the first slide, this is on Page 19, you can see what actually we guided last year for '26 and '27. If you look at the performance, the underlying total income growth which we forecasted a year ago is 5.3%. And if you look at the guidance -- longer-term guidance on last year for '26 and '27 on the cost side, then we guided an increase of 3.3%. Well, if I just take now a look at '26, '27 and '28 purely organically, so forget about the acquisitions, then we guide that our income growth for '26 will be stronger than the 5.3%, so 6.8% and the efficiency, the cost evolution will be roughly the same as what we guided a year ago, so 3.4%. Let me translate that differently. We use the same efficiency, but we add hundreds of millions to our bottom line P&L. So in the operating profit, there will be a strong positive contribution remaining the efficiency of what we had or let me use it differently with the same people doing even more revenues. Intrinsically, what we do then add for the long-term guidance is the acquisition of 365 and Business Lease. 365 added in 2026 means that we are adding a company which still is not working according to the KBC standards. We do foresee max 24 months to make 365, Business Lease working according to the efficiency and productivity standards of KBC. That means that we will have the full benefit on the revenue side and on the cost side fully into '28, not '26, '27 because you just absorb them as of the 1st of January of this year. As a matter of fact, it also then gives for 2028, the same underlying results. We will continue to see the underlying growth of our cost, 3.4% with that difference that our top line will grow even faster than what was done in '26 and '27, so 7.7%. So adding then at the end of 2028, the efficiency, the benefits of 365 and Business Lease will add another EUR 100 million on your bottom line. So in summary, in essence, underlying, you will have a jaw of 3.4%. And this is true for the entire cycle. The difference is that we will continue to grow our total income further and stronger than what we did last year. And therefore, it adds to your operational profit hundreds of millions of euro. How you translate that then in efficiency? Well, we do see the cost-income ratio of '26 guided at roughly 40%. And given what I just said, we do more income with less people, we will guide the cost-income for the longer term below 38%. All the rest on the guidance is more or less in line. We increased the guidance on our insurance business from 7% to 7.5%. Combined ratio goes to 91% below and then credit cost ratio is well below the 25, 30 basis points. And let me emphasize again, this is what we call the floor ceiling approach. So everything which is related to income is a floor, so it's at least and everything which is related to costs or claims or impairments is considered to be a ceiling, so max. In that perspective, one more detail, we do expect our net interest income for this year to be at least EUR 6.725 billion, which is compared to previous year, roughly 11% [Technical Difficulty] as a floor, so it is at least. Let me go then in the wrap-up. The wrap-up is in that perspective a repeat. So let me actually emphasize only one slide that is a slide of full year 2025. If you look at '25 as a summary of fourth quarters, then this is indeed [ EUR 3,568 million ] of profit, which is significantly better as last year. If you exclude the one-offs -- the one-off effect of the DTA in Ireland out of the year 2024, then the profit rose with 18%. And given the fact that the guidance, which we just gave of '26, '27 and '28 is just a prolongation and a continuation of the effect of '25. The outlook on the operating profit is more or less in line with what I just said on '25, '24. Given the exceptional character of this year, where we not only had record results, but also record performance on the customer satisfaction, employee satisfaction and the best banking app in the world, we also decided or not decided, we proposed to our Board yesterday evening to grant an exceptional bonus of EUR 25 million for the entire group to our staff. This bonus is yesterday positively advised and now will be proposed to the AGM in May. The reason why it goes to the AGM, it is an allocation of profit. And therefore, under Belgian GAAP, it will be -- indeed when it is approved by the AGM, it will be booked under the profit allocation. In the IFRS, the rules are a little bit different. That profit allocation is considered to be a cost, and that will be then, if positively decided by the AGM, will be contributed to the cost. That cost, given the fact that decision needs to be taken is not in the guidance. So this sums it up. I am not going to dwell upon all the other slides. I give you time for your questions. So I give back the floor to Kurt.
Kurt De Baenst: Thank you, Johan. The floor is now open for questions. [Operator Instructions] Thank you.
Operator: [Operator Instructions] The first question today comes from the line of Tarik El Mejjad from Bank of America.
Tarik El Mejjad: Two questions. I mean, first, I would just come back on your point about your always arguments about NII is a floor and -- or revenue is a floor and cost guidance is a cap. And I understand where is the upside could come from both. First, on NII, I would like to understand what volume assumptions you use for loans and deposits? I mean for loans, you gave the 5% year-on-year in '26, but one which sounds to me quite low bold given your delivery and the pickup in growth in CEE and in Eurozone. But I want to hear on this and what's the outlook for beyond '26? Is it fair still to apply the usual 1%, 2% NII conservatism buffer you guys always had worked quite well in the past. So just wondering if you still have this cautiousness there. And then on costs, I understand the scope effect change, but on the AI and tech and basically growing Kate further, how much actually allocated on investments on this? I mean for AI and tech for banking, it turned from banks being winners to losers in the last few weeks. What do you think of that? And do you see it really as a pain first than a benefit? Or you think you can reap the benefit first?
Bartel Puelinckx: I will respond to the first question of Tarik related to the development of the loan volumes and the deposit volumes going forward. So indeed, I mean, we recorded an exceptional 7.4% organic growth in the loan portfolio in '25. But this is indeed exceptional. We now guide in '26 for approximately 5% growth. The reason why we had a very strong growth in the '25, which is rather exceptional was, of course, triggered by the first half of the year, particularly in advance also of the uncertainty related to the tariffs, where we saw quite some increase also in anticipation of those tariffs of production in Europe. That's one element of that. And secondly, we also indicated that basically the strong growth in the first half was driven by a number of large transactions, mainly M&A transactions of some of our core customers, which drove the increase to indeed for the full year, 7.4%. We do not expect that to be repeated in the '26. That is the reason why we guide 5%. But obviously, 5% is based and driven by the fact that we typically look at the composition of the GDP growth on the one hand and the inflation. So if you -- that's a rule of thumb that we always use, particularly in Central Europe, GDP growth plus inflation, which indeed is bringing you to roughly 5%. And by the way, when you look back over the past 5 years, we always have been able to grow our loan portfolio by 5% organic growth. So that is where the 5% comes from. Then as far as the deposit side is concerned, so we never guide on the growth of deposits. But as you have seen, we have 2.8% organic growth for the full year and 4% growth for the full year nonorganic. This gives you an indication of potential future growth. Obviously, also here, the wealth conversion and the GDP growth in Central Europe is going to contribute to that. And so we have a positive view on the further growth from that perspective. So that explains where we come from. We do not guide on the loan and deposit growth for the '27 and '28 for obvious reasons.
Johan Thijs: And Tarik, I will answer your second question. Indeed, there is -- at this, let's say, last quarter, there is a big shift in terms of also media attention and statements made on artificial intelligence and impact on business development, but also on efficiency and not only in the financial industry, but in general. But specifically for the financial industry, I think our sector is in that perspective, really, really prone to using and embracing artificial intelligence if productivity gains need to be achieved. So giving this general statement, you can imagine that we are continuously emphasizing this, we have been doing this for the last 11 years already. KBC started with its artificial intelligence applications in our organizational structures and in our operations in 2014, '15. So we will continue to do so. We have an intention to further optimize the way we are working, and that is done in 2 ways. First of all, we continue to develop our backbone because in KBC, the philosophy of using artificial intelligence, and that is, I think, a little bit different than what you sometimes read in the press. I have the impression that in the press, sometimes people are believing that when they mentioned the word artificial intelligence, that only the fact that it is mentioned already increased productivity gains. I do not think that is a given. I think you have artificial intelligence productivity gains only when you tailor your AI solutions to the specific needs of your company. That's the first thing. And second thing, we will continue to do so. You can read it in our presentation as part of our Q4 announcement, but it's already in that pack for, let's say, 10 years. We continue to develop our front-end and our back-end connected via AI solutions. This is translated via Kate amongst others, but we will continue to develop those going forward. Straight-through processing, which means using AI tools to tailor solutions to the customer needs without any human being interfering in KBC, and the commercial processes stands now at roughly 65%, and the ambition is to bring it higher. But -- and that's something which we launched in 2025 beginning of the year, and this is now coming to maturity. We also are doing this exactly same thing that is connecting your front end and your back end, the front end in this case, the internal people for the noncommercial processes, and that needs to -- that is also using AI for good understanding, and that needs to deliver its results in the course of '26, '27 and '28. So on that perspective, yes, we will continue to invest in artificial intelligence, so using innovation, but we will continue, and that is, I think, far more important to use artificial intelligence to automate the processes in what we call a dark factory mode, so without any human beings interfering. The total summary of all investments is also part of the pack, including the transformation of the back offices, which is the trigger, including the front office applications, including artificial intelligence is cash-wise EUR 2 billion for the next 3 years and is roughly EUR 1.5 billion in terms of OpEx, also over 3 years.
Operator: The next question comes from the line of Namita Samtani from Barclays.
Namita Samtani: My first question, I see the footnote on the net interest income guidance says you include conservative pass-through assumptions. Can I clarify, do you mean pass-through of policy rates or pass-through of your replicating portfolio yield? Just wondering because both your Benelux peers are guiding to around 100% pass-through of the uptick in the replicating portfolio to savers. So are you similarly conservative there? And my second question, could you please give us an outlook for banks and insurance taxes, please? Because when I look at a country level, Belgium is going to be up around EUR 35 billion year-on-year. Hungary is going to be up EUR 60 million, and you're guiding to 5% deposit growth or something similar. So I find consensus being up only EUR 25 million year-on-year, quite confusing. So is my math wrong? Or can you give some color here, please?
Bartel Puelinckx: Namita, so actually, what the conservatism that we guide for is basically the external rate on the saving accounts, which is, of course, going to be depending on the evolution of the policy rates going forward.
Johan Thijs: Okay. And then I will take your second question. So on the bank taxes, indeed, it is not a guidance provided yet for the simple reason that there is uncertainty on one big element that is what Belgian government is going to do. So it is unclear definitely in the detail how and what the Belgian decision in this matter is going to be. And therefore, we cannot give you now a right insight in what the evolution of the bank taxes is going to be. I am not -- so I know you made a reference to certain articles in the newspapers. I'm not convinced this is the real situation yet in Belgium. So therefore, I recommend to wait until the end of quarter 1 when we are going to announce anyway the guidance or the expectations on bank taxes for the full year because then we have better insight how it's going to work. The 2 -- the other element on bank taxes is, of course, Hungary, where the Hungarian government has already positioned itself. As you know, part of that positioning is actually passed through to customers. The other part is impacting our P&L, and that has already been disclosed earlier. So all the other countries, no bank tax changes are foreseen. And therefore, we will give you full guidance on the bank taxes when we have more insight, more clarity on the Belgium position end of quarter 1.
Namita Samtani: Sorry, can I just follow up on the savings account? Can you quantify the pass-through? Or are you assuming any increase in deposit costs if base rates are stable?
Bartel Puelinckx: Well, no, we can -- basically, what we're doing, I mean, there is -- you always need to take into account, of course, what the commercial impact this is going to be. And also, of course, when the policy rates would be increasing, then obviously, it's likely that we would be required to increase our external rates on the saving accounts as well. And that's the reason why we put some conservatism on the external rates of the saving accounts.
Operator: The next question comes from the line of Benoit Petrarque from Kepler Cheuvreux.
Benoit Petrarque: So my first question will be on the assumptions on NII for '26 and '28. So on the volume growth, I think you've clarified that. Could you maybe clarify what your assumptions are on asset margins going forward also in terms of shift from term deposits to other type of deposits? And also clarify on the pass-through rate assumption, sorry to come back on that. What type of marginal pass-through rate assumption do you expect in your guidance? So that's the first question. Number two is on OpEx. Thanks for the Slide 19 and the kind of organic OpEx growth of 3.4%. It sounds still a bit high. I'm looking at the Belgium inflation, and we know we have indexation there. This is coming down quite sharply. So I'm trying to understand why you expect 3.4%. And did you include any maybe one-off investments? We talked about AI. And are there any specific investments in that number?
Bartel Puelinckx: Benoit, so as far as your first question is concerned, first of all, the margins on the asset side. Basically, I mean, already indicated and I should have also highlighted that on the mortgage side, let me start by that one. We still expect some -- quite some nice growth. Also in Belgium, actually, also this year started well off quite nicely with continuous growth also on the mortgage side, but particularly in Central Europe and this in all countries. In terms of margins on the mortgages, in Belgium, as Johan has been highlighting, we saw a -- we further reduced the gap between the front -- the margin on the front book and the margin on the back book in the fourth quarter by roughly 8 basis points. However, what we see is in the beginning of this year that competition has somewhat increased. And as a result of that, margins are somewhat more under pressure in Belgium. This is less the case in certain countries in Central Europe, where, particularly in Hungary, due to the fact that we have the home start program and the fact that now 80% of the business is being subsidized, this also leads to significantly higher margins and supporting, of course, further growth also of the mortgage business. In Bulgaria, also there, we see a very strong and continuous growth. You know that in anticipation of the euro adoption, the mortgage business increased quite significantly, but we see that pattern continuing also after the positively euro adoption at margins that are now at least compared to the Euribor in a positive range. However, also you know that there is a very particular funding approach and replication approach in Bulgaria, where the margins or the external rates are directly linked also to the external rates on the deposit side. As far as the Czech Republic is concerned, also there, we continue to see quite nice growth of the mortgage portfolio but also there, margins somewhat more under pressure, being still aligned with the margins on the back book. Slovakia, also there, continuous growth, margins similar to the Czech Republic, approaching more also the margin on the back book. Then on the mortgage side, on the corporate and SME side, we also expect continuous growth in both segments, where in most of the countries, the margins are quite strong and continue to be -- we expect them to continue to be quite strong going forward also in Belgium, although there, of course, competition might increase in the course of the year. So that's on the asset margins. As far as the shift is concerned towards term deposits, as you have seen and indeed, as Johan has been highlighting, there has been a huge shift of term deposits to CASA, particularly in Belgium, following, of course, the maturity of the term deposits that were issued 1 year ago following the repayment of the state note or state bond, I should say. Basically, 50% went actually back to CASA. So this is obviously a one other experience, but we do expect going forward that, that shift will continue as well, depending, of course, on the development of the policy rates, and that's because, of course, if the policy rates would increase, it might be that some would return from CASA to term deposits as well as, of course, the continuous growth of our asset management business, where we will continue also to focus on increasing particularly the net sales. So that as far as the shift is concerned of term deposits towards CASA. And as far as the pass-through are concerned, basically the pass-through as such, we do not guide specifically.
Johan Thijs: Benoit, I will take your second question. Yes, indeed, as you pointed already out, the cost is -- the cost increase organically for '26 is mainly driven by inflation, but I would nuance the word inflation because I would more specifically refer to wage inflation. In general, we do expect a wage inflation of roughly 3.7% for the group, which means not only Belgium, where it is indeed indexed, as you rightfully pointed out, but obviously, you also have promotions and so on and so forth. And the sum of all parts means that the wage inflation is 3.7%, which immediately indicates that if the guidance which we gave 3.4% cost rise for 2026 organically, it means that efficiency gains are bringing down the number of wage inflation to the total lower cost increase. Let me translate it more boldly. We do more work, more output with less people because the inflation of the salaries is otherwise eating up your cost performance. So in essence, this is not only true for 2026, but this is indeed the same for 2007 (sic) [ 2027 ], for 2028, where the CAGR of the cost side -- of the wage inflation side, sorry, is also roughly the same amount, 3.7%, 3.8%. So in that perspective, yes, indeed, we do the investment, and that was the answer to Namita's question -- or sorry, on Tarik's question, sorry, that is indeed, the efficiency gains are triggered by the automation via artificial intelligence solutions. And therefore, we are able to bring down wage inflation to a lower cost level. Your question about investments and more specifically one-off investments. Well, I would not call it a one-off investments. But in the numbers of '26, '27 and '28, we do have actually, for the first time, bigger parts coming in on the cost side, which are related to investments. Let me highlight one thing, the investments which we are doing in Czech Republic on both the banking and the insurance side, where we're building new platforms are here again, front-loaded. So you see that more into the cost and the benefits will come later on, so in the course of the next coming years. While that is increasing, for instance, on the Czech Slovakia and banking side, the cost '26 versus 2025 with another EUR 12 million. But as I said, you don't see it in the CAGRs. Why? Because we are making more gains on the efficiency side, on the, let's call it, automation and AI side. And therefore, all those investments are returning into the P&L, which allows us, as I said, to make more revenues, substantially more revenues, I'm talking about hundreds of millions of euro with less people and therefore, with a strong positive contribution.
Operator: And the next question comes from the line of Shrey Srivastava from Citi.
Shrey Srivastava: Two for me, please. The first is you guide all the way until 2028 to be notably below your through-the-cycle cost of risk of 25 to 30 bps. At what point do you start to question the through-the-cycle range rather than just commit to being below it year after year? And my second one is another one on artificial intelligence and Kate. You mentioned when you introduced your large language model, you drove an increase in autonomy of 15%. What are the latest figures on this because you've obviously had 3 months more now to test it. It was very new at the time. Could you give an idea of sort of latest developments here if there's been a higher increase in autonomy or if you have a greater level of confidence?
Johan Thijs: Thank you for your questions, Shrey. Let me answer -- well, I'll probably take both anyway. So your question about the longer term or the cycle on the credit cost ratio. Well, as a matter of fact, we already reviewed it a year ago when we took out a couple of one-off effects, amongst others, the longer-term cycle, which is somewhere in the pack. I don't know the number -- the page number by heart, but it is indeed roughly 30 basis points. We reviewed it. Why? Because in those numbers, the longer-term 25 years number was including, obviously, the financial crisis and was including Ireland, which is no longer part of the group. So we reviewed the numbers. What you see here, the 25, 30 bps is the group as it is over the last 20 years. Do we need to review it? Well, I mean, we could give you more details by saying the last 10 years or the last 5 years or whatever. But this is what the group is in the longer term. So the through-the-cycle number is 25, 30 bps reviewed in the composition as it is -- composition of the group as it is today. Then going to the artificial intelligence and the increase of autonomy. As I said during the announcement of the results, there is indeed an increase of the efficiency of the tool, which we use and which is used in the front end and in the back end. To -- you referred to earlier said 15% increase of autonomy. Well, it is actually today in reality, so in production since, what is it, 4 months, it's actually 20%. So Originally, Kate, when we changed it, had an autonomy of 70% in Belgium. Now we do have an autonomy of 82%, which is roughly 20% plus. The Central European entities are today, as you can see it on the slide, 69% in Czech Republic, but in Hungary and Bulgaria and so on and so forth is 71%, 72%. So in summary, it's there roughly 70%. We will use the new tool, the Kate 2.0 also in the next coming quarters in the Central European countries. And therefore, you can expect the rise of that autonomy indeed in line with what we have seen in Belgium. Two other small remarks. First one, it's not only the autonomy, which is up significantly, but we do see that customers are using more and more Kate because of the new tool. Why? It's far more intuitive. It can answer contextual questions and so on and so forth. And therefore, customer satisfaction was significantly up as well, translated in more usage, more usage means more efficiency, means more work done by Kate. As you have already seen in this quarter, that is a number of FTEs is on the rise. That's the first thing. Second thing is we also use this Kate in the back offices. Let me give you a silly example, at the first glance at silly. Every bank has a database which contains all the information which our employees need to use, regulation, product features, da, da, da. What they do in the past, they are going into that database, but they have a question, they look for the information. They spend X minutes, for instance, 10, 15 minutes before they find the answer to that question. Well, this has been translated into Kate 1.0 already, but it's now translated into Kate 2.0, which has a huge boost on the efficiency, whereas previously, an employee was not always able to find the answer. It took 10, 15 minutes to find the answer. Today, with Kate 2.0, all answers are found and the throughput time is 1 second. And therefore, we just celebrated the 100,000th question in Belgium under the tool Kate for staff. And that means that efficiency gain is translated into the numbers as well. So it sounds silly, but the impact is quite significant. For good understanding, this tool is rolled out group wide.
Shrey Srivastava: That makes sense. Just if I may quickly follow up on the first one. You mentioned 25% to 30% is the through the cycle for the entire group. But obviously, 2028 is a way away, and you must have some degree of confidence to guide for something which is 2 or 3 years away. So just what gives you confidence in 2028 being well below the 25% to 30% through-the-cycle figure...
Johan Thijs: So indeed, yes, we -- I mean, the floor ceiling approach you know, given the fact this is a ceiling, we are very confident that it will be low. As a matter of fact, when I look into the portfolio, the guidance which we give is based on underpinning elements, obviously. One of the most important underpinning elements I highlighted briefly during the call that is what about PD migrations. And the PD migrations in quarter 2, 3 and 4 of 2025, and it sounds perhaps counterintuitive given the -- I mean, the world and the shape of the world we are in, the PD migrations have been improving. So we do see in our entire loan book, the PD migrations shifting to the better side. So a number of defaults that is improving. What, of course, can happen is that there is a bigger file here and there. But if you take that into account and you take into account the observations which we have for '26, '27, '28, given and that is an assumption, the same economic environment, which we have, well, there is no reason to assume that the 13 basis points, which we have seen for 2025 is going to be fundamentally different than in '26, '27, '28, which means significantly below the 25, 30 bps. One caveat, you probably know what I'm now going to say, no escalations of wars, no other things which are popping up, which are disrupting the environment, the economic or political environment significantly globally.
Operator: And the next question comes from the line of Giulia Aurora Miotto from Morgan Stanley.
Giulia Miotto: I have 2. Sorry, just to go back on the NII. Did I understand it correctly that you are assuming continued faster growth of current account versus savings and term, i.e., a mix shift towards current account, which is more profitable? Or are you assuming a stable mix shift from here? And I know we had a great mix shift in the quarter. I'm just looking forward. And then secondly, SRTs, you started doing some. How much shall we assume every year in addition to what you have already done? And I don't know if you can share any economics on this in terms of the costs to do so.
Johan Thijs: Giulia, I apology, can you repeat your second question, because we -- I mean, it's very difficult to understand. No, no, please, sorry.
Giulia Miotto: Okay. I was just asking about SRTs. How much are you planning to do every year...
Johan Thijs: SRT, okay, sorry.
Giulia Miotto: Yes, SRT. Yes, significant risk transfer.
Johan Thijs: Because we missed the word SRT. And therefore, we...
Giulia Miotto: All right. Then it doesn't make sense. Okay.
Bartel Puelinckx: Okay. Giulia, I will respond to both of your questions. So as far as the shift is concerned, we never indicated that it would be a shift only to current accounts. When I was referring to a shift, it's a shift that goes from term deposits to both current and saving accounts. So we do not specifically mention that it was only to current accounts. Secondly, as far as your SRTs is concerned, indeed, I mean, as we have always been saying, we see the SRTs as a means to an end. We are, of course, actively engaging into portfolio management, which is a number of tools that we used and one of them is indeed SRTs. The reason why we're doing that is that we do not want to become fully dependent on the SRT market going forward. Having said that, you know that we did our first inaugural SRT back in the fourth quarter, which was a very successful one, EUR 4.3 billion, out of which we generated a EUR 2.3 billion of risk-weighted asset saving, which is an efficiency of more than 50%. And also, as we indicated, this is at a cost which is well below the cost of capital of KBC. So therefore, also contributing quite nicely. Going forward, we do intend to further invest or launch SRTs. We do not -- we are currently making an analysis of the portfolio. We have a relatively good view on which portfolios we will include. And indeed, you can expect further SRTs depending, of course, also on the approvals that we get from the ECB because you also know that they have launched the so-called fast lane track, but there are quite a number of conditions that are need to be fulfilled in order to be able to benefit from that fast lane approach. And so therefore, it's very uncertain whether we would be able to benefit. So therefore, taking into account that we will probably launch a second SRT in the second quarter and a third SRT in the fourth quarter of '26. The amounts that remains to be seen and depends on the portfolio and the efficiency that we can generate on those portfolio, but we will keep you posted on that going forward.
Giulia Miotto: And if I can just follow up on the first question, so the mix shift. So basically, you assume less term, more current and savings. And you base these go-to levels on history. So what -- can you share basically the split that you are using?
Johan Thijs: Well, it's very difficult to anticipate how much exactly is going to shift from the term deposits to CASA. And as I stated before, to a large extent, this will also depend on the development, of course, of the policy rates because if policy rates would go up again, you can expect, of course, that less will be shifting and we might even have to see a return from saving accounts to term deposits. So that's the reason why it's very difficult to give you a clear indication of what the shift is going to be, but we do expect that for the time being, if, of course, policy rates remain as they are, that we will continue to see a shift from term deposits to CASA and particularly also to mutual funds.
Operator: The next question comes from the line of Chris Hallam from Goldman Sachs International.
Chris Hallam: Just 2 left. So I think both pretty simple ones. So why did 50% of the state notes go back to CASA? I know the rates are from term deposits aren't as generous as they were, but I guess they're still better than CASA rates. So why do you think clients are proactively rebalancing their liquidity from locked up saving strategies into more operational accounts? I know there's a difference between the flow, but just specifically when the state note matured and that flowback happened, maybe Kate is telling them to do that. And then perhaps I missed this earlier, but could you give us your best sense on the time line on Ethias where that currently stands? I know we've had a mark-to-market on that in prior calls. I know it's not directly relevant for you as well, but any color you have on the time lines of Belfius and whether or not there could be any connection between those 2 processes?
Johan Thijs: First of all, as far as your first question is concerned, I mean, why indeed 50% of the maturing term deposits went back to CASA. Obviously, are you -- when you look at the current external rates that we are able to generate because, of course, the main difference with last year is that the market has returned to more rationality. And as a result of that, basically, we are able to offer term deposits now not at negative rates, but of course, negative margins, but at positive margins. So the rates on the term deposits have come down significantly. And therefore, people are very unlikely or willing to continue to lock in their money for a longer term at such rates. And that's the reason they probably shifted more to CASA, awaiting also for opportunities, and that's also what we are doing to further invest in mutual funds. So that is exactly what we are expecting that we are moving, that we will -- we see also more moving into the mutual funds going forward.
Bartel Puelinckx: Thanks, Chris, for your questions. I will take the second one. If I add one more flavor to what Bartel just said, be aware that a lot of people which invest in term deposits were very wealthy people. And therefore, they are inclined to go more into investment products. Anyway, going back to your second question, well, the government has taken position also on the record on what they're going to do with their assets, and that is entailing in essence, 2 things. The one is Belfius. They have the possibility to investigate a private placement of roughly 20% of the capital, which then also means that they could maintain their dividend, which goes into the budget, as you know, of the government. The 20% sale goes into the that GDP position of the government. And then they have the same announcement, they also indicated that the position on Ethias is investigated, which means that in the course of 2026, they will position themselves and that position can be twofold and is either launched in terms of a sale, partial sale, whatever sale of Ethias. And then secondly, the other option would be no, we keep it for whatever reason. The position in this perspective of KBC is quite clear. We will struggle. Belfius is not possible for us giving the concentration risk in terms of market share. And the second one, Ethias, we are clearly interested. I said this on multiple occasions, and this is not changing. So we are definitely looking into that possibility. For that reason, we also prepared ourselves. And if the outcome of the government will be launched, we will be ready. If the outcome of the government, no launch, then and a clear statement that it will not be sold, then it is considered for us to be gone. And in that perspective, we will reconsider our position on the capital, which we hold specifically for that acquisition.
Operator: The next question comes from the line of Anke Reingen from RBC.
Anke Reingen: Just one follow-up question on the capital distribution. I'm sorry if I missed this. I'm just wondering what was the thinking you moved to about 60% payout ratio and you didn't go out all the way to the 65%. And sorry, just one follow-up on the EPS. You said there's also partial sale discussed. Would you be interested? I mean, I guess it depends on all the moving parts, but would a partial sale be of interest as well as a full acquisition?
Johan Thijs: Thank you, Anke, for your questions. So on the dividend, well, what is our policy is straightforward. We want to grow further our book. And in that growth of book is in 2 ways, organic growth, which we established this year, 9%, or 8.7% to be precise. And also acquisitions, which we did this year as well with the acquisition of 365 and the leasing companies in Czech Republic and in Slovakia. The outlook for 2026 is indeed, given the government statement, a potential acquisition. So 365 and Business Lease is going to be deducted from our capital this quarter -- sorry, this quarter, which is quarter 1. So that is roughly -- that is 50 basis points, 46 points plus 4. And then our capital ratio stands at 14.4%. The acquisition of Ethias, if it comes to the table, will have an impact. I mean, according to the analyst reports, we don't comment on this precise impact. But according to analyst reports, most of them under Danish Compromise consider this to be max 100 basis points. You can make the calculation yourself. So in this perspective, the 60% payout is a further execution continuation of our dividend policy, which brings it now to EUR 5.10 per share and is aligned with what I just explained on the potential acquisitions and the potential M&A, which we can do in '26, '27. In that perspective, it is also clear that it was also the answer which I just gave on Chris' question. If it is not coming to the table, then this capital is no longer allocated to this part and becomes part of the distribution, clear. So in this perspective, we just keep, let's call it, the powder dry and we bring a very decent payout and the consideration on the future in that perspective is quite clear or we do an acquisition or we release that part of our capital in terms of capital distribution. What about a partial sale? Well, I mean, at this stage, if there is a partial sale with a straightforward message that no longer it is possible to do a full sale, well, that would completely change our position because we are not interested to participate in an acquisition where we withhold, for instance, not the 100% or withhold a position where there is a firm stake of the government involved. So in that perspective, we still assume the position to be fully released by the authorities.
Operator: The next question comes from the line of Farquhar Murray, Autonomous.
Farquhar Murray: Just one detailed question from me actually in this case on the non-life side. I just wondered whether you factor in any cyclical softening to pricing in the non-life outlook when you look out towards full year '28? And maybe more in the here and now, are there any actual signs of such softening emerging in the markets you operate?
Johan Thijs: Thanks, Farquhar, for your question. So be aware in the position which we have and softening of pricing is obviously related to 2 things, and that is what is the current growth of your economy, which is triggering 2 things on the non-life side, for sure, the growth of your -- potential growth of your book, and the second part is how profitable is your book. In terms of our profitability, we are a positive outlier compared to peers also in the Belgian market. Portfolios have improved in the market in general, but not to the same extent as where we are with KBC. So therefore, we have a competitive edge. And to go immediately into the extreme version of soft pricing, that is a price war, I don't expect this to happen. Why? Because the margins are good, but the margins are not super in the sector. And KBC, the 87% in that perspective is not representative of what we see in the market. And this is true in the majority of the countries where we are present. So do we expect a softening of the pricing? The outlook is at least not that we go into a strong version of softening and definitely not into a price war. So in that perspective, the reason why we continue to see the growth of insurance companies and even upgraded the guidance to 7.5% is tailored to 2 things. First of all, what I just said, GDP growth is quite significant. Don't forget that GDP growth in Central Europe is roughly 100 to 150 basis points, at least higher than what we see in Europe and Europe -- Western Europe, sorry. Western Europe is considered to grow roughly 1%, 1.1%. And then secondly, be aware that the underwriting of our non-life insurance business is fully automated. Same standards apply in the same group. That's one of the reasons why the combined ratio is what it is, but also allows us to, in that perspective, target very specifically the bank customers and other customers via the models which we use. And they are pushed, amongst others by Kate.
Operator: The next question comes from the line of Sharath Kumar from Deutsche Bank.
Sharath Ramanathan: I have 2. Firstly, on fee growth, what's the embedded assumptions for your midterm guidance? I calculate around a 6% CAGR between now and 2028. Would you agree with it? And what sort of an assumptions predicate this? Specifically on asset management, do you think the 5% organic flow rate that we saw in 2025 is sustainable? Are there any positive extraordinary performance fees that we need to be aware of in 2025? Secondly, on capital distribution, a follow-up on the Ethias comment that you made. Assuming it does not happen, what is your excess capital stand? Would 14% be a realistic floor rather than the 13% minimum that you have in your policy?
Bartel Puelinckx: Okay. Thank you. I will take the first question on net fee and commission income. Basically, you know that we are not guiding net fee and commission income for the very simple reason that basically, to a large extent, the development of net fee and commission income is defined by the asset management business and therefore, also, of course, by the development of the assets under management and the market performance. So because basically, 55% of our net fee and commission income, roughly 55% comes from asset management. And of the 55%, roughly 50% of our portfolio is in equity. So there we are subject, of course, to quite some market evolutions. But the numbers that you have calculated in terms of the non-NII growth are more or less -- I mean, are some numbers that I would be able to subscribe. Do we see some extraordinary fees or whatever? You know that in the fourth quarter, there was a EUR 50 million fee that was paid -- performance fee that was paid by the pension company in the Czech Republic. This you cannot extrapolate, obviously, because it's performance related. But it is indeed that the only annual performance fee that we have. And so from that perspective, the answer to your question is negative.
Johan Thijs: And I will take your second question, Sharath. So on the capital side, what would happen in terms of excess capital if Ethias does not come to the table? Well, first of all, in terms of the final destination that is if we don't have any M&A possibilities, concretely at the end of '26, beginning of '27 when we decide on the dividend. Well, then this is considered to be surplus capital or capital which we cannot make work in terms of organic growth and M&A. So -- and as I said, that will be then pronged for distribution. How much capital is excess? Well, that's -- we don't speak in terms of excess capital. So as we did, what is it 2 years ago, this is no longer valid. We have a clear position there. We have an absolute minimum of 13% on the CET1 ratio. We do have our current capital position, 14.4% if you take into account 365 and Business Lease. And then obviously, you add to that the performance in terms of capital in the course of 2026 to end up with the number, and that will be compared to our peers in a nonmechanical way. So we want to be amongst the better capitalized financial institutions. That is something which we don't forgo on, and that will be then decided by our Board in all discretion. Let me emphasize one more thing, which Bartel said earlier. We will continue to optimize our capital structure. It means, amongst others, that SRTs are tools which we have on the table, which we are preparing and which are going to be indeed influencing positively the capital position.
Operator: There are no further questions. So I hand back over to your host for closing remarks.
Kurt De Baenst: Thank you. This sums it up for this call. I would like to thank you for your attendance and enjoy the rest of the day. Bye-bye.
Operator: Thank you for joining today's call. You may now disconnect your lines.